Operator: Welcome to the Second Quarter 2019 Financial Results and Business Update Conference Call for Yield10 Bioscience. During the call, participants will be in a listen only mode. The presenters will address questions from analysts today. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to turn the conference call over to your host, Yield10 Vice President of Planning and Corporate Communications, Lynne Brum.
Lynne Brum: Thank you, Diego, and good afternoon, everyone. Welcome to Yield10 Bioscience second quarter 2019 conference call. Joining me on the call today are President and CEO, Dr. Oliver Peoples; Vice President of Research and Chief Science Officer, Dr. Kristi Snell; and Chief Accounting Officer, Chuck Haaser. Earlier this afternoon, Yield10 released our second quarter 2019 financial results. This release as well as slides to accompany our presentation today are available on the Investor Relations event section of our website at yield10bio.com. Let's turn to slide two. Please note as part of our discussion today, management will be making forward-looking statements. These statements are not guarantees of future performance, and therefore, you should not place undue reliance on them. Investors are also cautioned that statements that are not strictly historical constitute forward-looking statements. Such forward-looking statements are subject to a number of risks and uncertainties that could cause the actual results to differ materially from those anticipated. These risks include risks and uncertainties detailed in Yield10's filings with the SEC, including the company's most recent 10-K. The company undertakes no obligation to update any forward-looking statements in order to reflect events or circumstances that may arise after the date of this conference call. Now I'll turn the call over to Oli.
Oliver Peoples: Thanks, Lynne. Good afternoon, everyone, and thanks for joining our call today. In the first part of our call, I will provide an overview of our business strategy in each crop products we are pursuing, recent accomplishments and our vision for growing our business. Kristi will provide an update on our field trials and provide an update on genome editing traits for boosting oil production and oil seeds. Then I will review the financials and summarize our key milestones for the year before opening the call to questions.  Let's turn to slide three our business strategy. Your Yield10 an agricultural bioscience company created a trait factory to develop high value genetic traits for the agricultural food industries that enabled sustainable global food security. The core of the traits factory of creating discovery platform grade, green ranking artificial intelligence network is unique in the industry. This advanced computational system enables our scientists to identify small numbers of key gene targets or a wide range of viable crop traits, including the crop products who are targeted for Yield10 turn.  Today, we have reported, presented and published work for several yield traits based on this platform, illustrating the yield gains that may be possible using our approach. We have more than 15 traits in our pipeline. The traits factory enables three distinct revenue opportunities, each with a different path forward. The first is R&D for service revenue for access to our unique capabilities in traits across the products Yield10 turn is not directly pursuing.  The second, licensing of our yield and performance traits for use in major crew crops corn, soybean, canola, and other crops. And the third product sales based on our Camelina platform for producing edible oils and PHA biomaterials. For R&D services, we promote our technologies and traits in press releases and scientific conferences to create interest from commercial partners. A typical funded R&D program would include upfront payments, research funding and license revenues as appropriate. Licensing of our yield and performance traits to the ag majors is the best way to maximize the acreage and future royalty revenue. The key here is to generate compelling scientific and field trial data before finalizing commercial license agreements. We are investing our internal resources to progress or yield performance traits in Camelina and canola. For other commodity crops we are accelerating development through working with the ag majors in the release germplasm using their resources. Bayer is working with C3003 in soybean. Forage Genetics is working with several traits in sorghum. And we have contracted the major ag player to develop several of our traits in corn.  Generating field trial data with updates in canola will provide us with sufficient new information to understand the value potential and continue the development of our patent position.  For other crops once you have secured patent filings in the new trade so it's in our interest to leverage third-party resources to generate performance data as soon as possible provided we get access to data generated and retain control of the IP. Future agreements or changes to agreements with third parties will be on this basis.  As our partners develop field data, we expect to enter into commercial license agreements which would be excited to include upfront fees on executed, loans [ph] and milestone payments during development before royalties kick in from commercial sales.  The third, product revenue is high-volume crop product opportunities. You know our focus is on using our Camelina platform to produce differentiated products protected by patented traits. To address global food security we need to produce more food with less land we do so more sustainably. The use of Camelina as a cash cover crop has the potential to be a key part of improving our sustainability of food and feed production. Cover crops are well known to reduce nutrient run off into a water system which can fight human and environmental health.  Nutrient run off is a major cause of algal blooms in the Gulf, resulting in fish kills and reduce tourism revenues. Cover crops are not widely used because they are typically an added costs for farmers. We believe our crops will become increasingly important. So we are focused on engineering products into Camelina which can add sufficient value so growing them becomes a source of additional revenue for farmers while enabling the production of exciting products with large market opportunities.  This will provide us with potential direct revenue from product sales in addition to licensing our performance traits to the ag major. There are many more partner prospects with these opportunities as compared to the Monsanto a very large player who could roll the seed sector. Yield10's unique capabilities are broadly applicable to a wide range of huge new foods feed, industrial and medical targets enabling three distinct paths to revenue. We have been increasing our business development activities and exploring partnership opportunities.  Let' now turn to slide four to discuss these niche product targets. Yield10 is developing a number of novel traits to boost the flow of carbon through the metabolic building block Acetyl-CoA, the specific products. Acetyl-CoA is a key building block for edible vegetable oils, PHA biomaterials and additional compounds such as CBD.  Yield10 is pursuing the production of PHA biomaterials that can be used for nitrate removal and water treatment or for plastic replacements and the production of healthy edible oils, including sustainable fish oil replacements. We have no plans to enter the plastics replacement market and we will focus on developing the Camelina technology and production of the report PHA biomaterial for the simplest application water treatment.  This applications been known since the LEDs [ph]. And our previous business routinely sold PHA product into this market but uptake was constrained by high costs. PHA biomaterials provide a natural readily deployable feed source for micros in the environment which consume the PHA nitrate bi-productions in gas. As an example in the home aquarium our aquaculture facility the nitrate builds up and this results in algal growth.  If you add PHA to the research letting water then these micros will remove the nitrate and the algae will disappear. Without nitrate they can't grow. The PHA gets consumed during the process so you just have to talk about periodically to keep you and the fish happy. And if the PHA cash cover crop business is tightly linked to sustainable food production and consumption by reducing runoff from food production at start of the value chain and is not enabling cost-effective remediation of wastewater treatment systems at the back end. As an insource food increases saw the need for fertilizer and so we will value this opportunity. We believe this will enable us to fully establish the value chain, create a profitable business and a long last, low cost PHA biomaterials available to the packaging market. We recognize the high interest in another molecule produced implants from the same building block Acetyl-CoA.  CBD is a good example of a product targets for Yield10's traits and capabilities that considerable value for third-party with deep knowledge of the medical CBD business. Yet we're seeing a funded R&D program and upfront payments research funding and license revenues, as appropriate. These product targets provide opportunities for Yield10 to develop businesses that generate product revenue and/or partnerships of downstream revenue. We will keep you posted as it continues to make progress and finalize the business cases. Let's now turn to slide five to discuss the impact of genome editing and the development and commercialization of new traits and crops. The fields of biotechnology have also advanced and genome editing could be a perfect tool to accelerate some of the normal traits and crops.  We believe our traits flagship platform may enable us to go from GRAIN modeling insight to editing trait to feel testing your product in a three to five year time period using genome-editing. Advanced acceleration is compared to the historic timelines in ag biotech.  The short timeline for editing traits assumed, the editing is carried out in high quality germplasm of the crop of interest or targets to change the composition of the seed. For example, a different oil composition or increased oil content. Once the trait is tested in the field, ensure to work then they can enter the commercial phase and there’ll be licensed to third parties are commercialized directly.  Genome-editing is going to have a big impact on agricultural by reducing the cost of timeline to commercialization of new agricultural products. Meanwhile, USDA-APHIS has taken steps to modernize its regulations and align them with the science an effort that could significantly streamline the path to market for certain products, in the U.S. at least.  Our oil trait targets are on such a path, I am pleased to review the progress we have made in Camelina and Canola. This is a major significant industry and it won't enable a new way with different entities of traits many of them for direct marketing-to-consumers, which we should control and provide new opportunities for farmers. Now let’s turn to slide six, a summary of our recent accomplishments. We are focused on executing against our business strategy and I am pleased to report we have made considerable progress positioning Yield10 and to achieve objectives for 2019. For instance, in 2019, we are positioned to generate proof points on our novel yield traits and key crops. In second quarter we completed planting of our field tests. Kristi will discuss the field test further in a few minutes. We're also evaluating several additional traits in greenhouse studies. Communicating our scientific innovations at conferences and the publications has been a very effective way to generate business development leads for both our technology platform and traits. The key Science officer Dr. Kristi Snell, recently presented our work with GRAIN and oil content trait at two fund science conferences. And Kristi will highlight some deal on oil content work that was presented. As a result of these activities we have third-party interest in GRAIN and some of our oil traits.  Since the start of 2019, we have filed four new patent applications, bringing our portfolio to 21 pending patent applications pending unissued patents. Our U.S. patent was recently granted on C3003. And this morning we announced receiving a notice of allowance from the U.S. PTO for claims relating to C4001. We have research license in place with ag major sort of both of these traits.  Earlier this Yield10 signed an exclusive global license for a third genome-editing targets, C3012, to increase oil content from the University of Missouri. Yield10 also filed an applications related to the use of our GRAIN technology platform that identify new yield gene targets, methods to boost oil content and crops and methods to produce PHA biomaterials and crops.  We continue to monitor the progress of Bayer and Forage Genetics as they deploy and test the traits in soybean and forage sorghum respectively, under nonexclusive research licenses. And we're also actively engaged in discussions with third parties interested in deploying our traits in a variety of other commercially important crops. We plan to keep you updated on the progress we're making all of these areas in the second half 2019. Let’s now turn to slide seven, describing our PHA crop breakthrough. In June, we announced the filing of the U.S. patent application covering used technology enabling the low cost production of PHA biomaterials in Camelina. PHA biomaterials are potential natural placements for plastics offering good shelf life performance in use, and unlike the plastics, they would replace a simple clean end of life scenario. In many ways, they are the wholly grail of plastics replacement, renewable, biodegradable and with properties to replace a significant fraction of the global process market.  But, simply too high costs through fermentation to gain broad market adoption. We kept the crop activity on PHA biomaterial production, because it was tied directly into our core crop technology. And because we have known for 30 years that this is probably the only way to enable variable cost PHA, without biomaterial production. We've been working on this since Kristi joined the team 20 years ago. So kudos to Kristi and the team on the new results.  As is often the case in science sometimes when the obvious doesn't work, it makes sense to just try a different approach. And as it turns out, like building an oil well or investing in real estate location in the plant sales matters when producing new products and seeds. In our earlier efforts, we could retain the engineered oilseeds to produce over 5% PHA in the seed classes of Camelina and looks to be very promising, until we found the results in seeds basically intact.  Oil continent on oil seed can go get up to 30% to 50% of the weight, but the oil accumulates in the site is all of the seeds cells. So our team decided to try and engineer the oil seeds to produce the PHA and assign all seeds cells. And this resulted in the production of healthy viable seeds even as we achieved PHA levels of 10% in seed. This in our economic models at 10% PHA content in seed. And this will be no reduction in yield. The production cost is estimated to be lower than polypropylene a major plastic material used widely in food packaging. Given our 30 year history in the field, the GRAIN platform and the Yield10 we now have in hand for Camelina we believe there's still a lot of potential to increase PHA seed to 20% or maybe 30%.  As discussed earlier, the application in Yield10 pursuing the crop PHA is denitrification for water treatment, which could provide an effective low cost solution to an environment enormous environmental problem. Success here will also open up enormous plastics replacement opportunity where we will be able to seeking partners.  Let's now turn to slide eight on our timeline fast evaluation. During 2019 and 2020, what we call the growing phase we are focused on commercial development of our traits and major crops. And using Camelina as a production platform for products including nutritional oils and PHA biomaterials. This provides us with multiple paths developing revenue generating partnership first technologies, traits and per crop based production technologies successfully will lead to the harvest or commercial phase in 2021 and beyond. I'll now the call over the Kristi for an update on our progress advancing development of our trade of key crops.
Kristi Snell: Thanks Oli and hello everyone. And my presentation today I will describe some of the recent advancements in our trade pipeline, and our plans for 2019.  Let's now turn to slide nine. We currently have a pipeline of 16 novel traits. And most of these are applicable with multiple crops. Our C-3003, C-3004, and C-3011 traits could be broadly applicable to key commercial North American crops, including canola, soybeans and corn, which account for 200 million acres harvested annually. The C-4000 series traits are based on transcription factors, or gene regulators in plants. In a model crop, we have seen significant increases in photosynthesis and biomass yield with these genes. We are deploying these traits and corn, wheat, Camelina and rice and Forage Genetics is evaluating some of these traits in forage sorghum. This morning, we announced that we received a notice of allowance for our US patents on the C-4001 gene trade. We are developing a series of oil enhancing traits to increase oil content, the primary driver of value in oilseed crops. These traits could be deployed in existing commercial crops such as Canola and soybean, and could be used to improve the commercial liability of Camelina and other oil seed cover crops. We estimate that deploying our technology to produce PHA biomaterials and deploying our oil enhancing traits and lines engineered to produce nutritional oils could be planted on 10s of millions of acres, while generating several billion dollars of prudential product revenue, all while providing growers with an opportunity to grow new crops and diversify the crops in their fields.  In 2019, our R&D resources are focused on generating proof points across our portfolios of traits and development. Let's now turn to slide 10. Our field tests are underway at sites in Canada and the U.S. The start of the season was very challenging the drought conditions on the Canadian prairies where our canola and Camelina is planted. The dry weather conditions affected the emergence of our plants and that's the way the trials. These conditions affected most farmers and ag companies performing field trials on the Canadian prairies. Our team in Saskatoon has worked hard and has done a wonderful job monitoring and advancing our trials during these extreme weather conditions. Our team will continue to work closely with our field trial contract is to closely monitor the trials and record the data. In the field this year we are testing C-3003 in canola as part of our program to generate multi-site multiyear field data on agronomics and seed yield for this trade. The photo at the top of this slide shows a picture from this trial with the plants in full bloom in the middle of July. We are also testing C-3004 for the first time and field tests and Camelina. This study was most affected by the challenging conditions. But we'll collect as much data as we can on the art agronomics and the yield of the plants and will generate pure field grown seed for further field testing in 2020.  We are also testing a series of CRISPR genome edited traits in Camelina at sites in the US. We are testing these traits alone and in various combinations to optimize oil content in seed yield. A photo on the bottom of this page shows a picture of one of the field sites from the CRISPR genome edited trial taken at the beginning of August. The plants are currently at the seed bowing [ph] stage. I presented data generated in greenhouse studies on these traits at the recent American Society of Plant Biologists Annual Meeting, Plant Biology 2019, and we'll discuss those findings in a few moments. The 2019 field test program also includes some additional traits we are testing for research purposes. We anticipate completing harvest in Q4 of 2019. The data generated by the trials is extensive and includes measurements of seed oil content, and we expect to have results from the study to completed in Q4 2019, or Q1 2020.  Let's now turn to slide 11. The Economics of producing specialty oils is driven by how much oil can be produced per acre. This is driven by the seed yield per acre and the oil content of the seed. We have a portfolio of several traits accessible with CRISPR. It has potential to boost oil content in crops. On the left side of the slide is a simplistic illustration showing the path of oil production in seed and what the various traits that we're examining act in the pathway to oil production, whether during lifted biosynthesis or during with the turnover.  At the Plant Biology 2019 conference, I had the opportunity to chair and speak at a session focused on genome editing. At this session, I presented data on some of our efforts to increase oil content by CRISPR editing, including our line that has edits to knock out the activities of C3008a, C3008b, and C60,009. As you can see in the chart several types of lines with this triple edit we're isolated. Line type three contains the full knockout of all nine copies of the genes and Camelina, whereas line types one and two have knockouts in eight of nine copies. The preliminary data generated in our greenhouse studies for these lines is quite interesting. In each of the constructs we saw a percent increase in oil produced per individual seed increases that ranged from 12% to 38%. We also saw increases in individual seed weight. However, we observed the continent decrease in the number of seeds per plants vary depending on how much soil content was produced in the seed. This data is very valuable because it indicates that we can increase oil content significantly in seeds if there is a trade-off between increased oil content and the number of seeds produced by the plant. This suggests there isn't enough carbon in the plants produce more oil and maintain the number of seed and it's an opportunity for optimization. Oil content per plant may be the best way at this stage to estimate the potential impact on oil per acre. For example, in line type one, we were able to optimize the combination of genome edits to increase oil production per plant by up to 5%. These lines are included in our 2019 field trial. We licensed C3007 and two other exciting oil content traits with unique biological mechanisms discovered by Professor Thelen at the University of Missouri. We have edited C3007 in Camelina and Canola and are currently conducting greenhouse studies to evaluate oil content in seed yields. Our oil content traits are potentially very valuable. We estimate that if we can boost oil content in canola by 10%, across the North American acreage the trait could generate an additional 800 million in value per year. Because we are deploying them through genome editing, they may have a more favorable regulatory path. We also expect these traits could have additional value as deployed to improve the yield of our specialty oil products. It's an exciting time for us that Yield10, our team is focused on our technology proof points for our lead traits and several of the traits in our pipeline look very promising.  I would like to thank our R&D team for the tremendous efforts they have made so far this year, and look forward to their continued productivity.  Oli, back to you. 
Oliver Peoples: Thanks, Kristi and entire R&D team. The creativity and driver making them a pleasure to work for and my job easier and very confidently will continue to make excellent progress throughout 2019. Let's now turn to slide 12, talk about our affiliations to expand the testing rotating key crops. Given our size and rules resources, we are managing to get a lot done in a number of crops by leveraging the expertise and resources of ag industry leaders, deploy our traits and commercial germplasm and provide a path to commercial licenses. There is making good progress with the evaluation of our C3003 trade in soybean get them the research license signed in late 2017.  They have provided us with updates on their activities and we're very pleased with the considerable progress they have made. Their work with Forage Genetics is also progressing under the research license we signed in 2018, enabling them to test five traits and 40 sorghum.  They have also recently provided us with updates and again, we are very pleased with the considerable progress that they have made. These companies generate data, their cost and our target crops we expected to come to us to negotiate commercial licenses.  Our corn and soybean, the major crops in North America and probably over 75% of seed sector revenues are preferences to demonstrate the valuable trade before engaging in definitive collaborative or licensing discussions. With respect to corn, we have engaged them by major completed deploy case into corn and that work is on the way. We are working with researchers the NRC Canada to develop genome editing lines for evaluation based on our C4000 series traits. And their visibility and putting presentations and scientific meetings has increased over the last several months. There's been an increase in inquiries about our green platform and traits for a range of crops and we are currently in discussions with several parties. In 2019, as we continue to generate more data and updates including field data, our activities will be focused on setting the stage for collaborations and partnerships.  Based on to slide 13 and let's cover a few financial highlights starting with the balance sheet. Our net operating cash usage was $1.8 million for the second quarter of 2019. We ended the second quarter of 2019 with $4.3 million in cash and cash equivalents. This cash balance equals the proceeds of the rest of direct offering completed in the first quarter, which enabled us to raise $2.6 million net of offering costs, new priced this offering it market there's no warrants. At the end of the second quarter we have approximately 12.5 million shares outstanding. For 2019, we continue to expect that operate in cash usage in the range of approximately $9 million to $9.5 million consistent with last year. We are directing this investment towards generating proof points working in collaborations and advancing development of our yield traits. We continue to have no debt and our balance sheet and expect to have cash on hand because at least expected revenue from our current government grant to support our operation through several technology proof points into the fourth quarter of 2019.  Let's now review the second quarter and six months operating results. The company reported a net operating loss of $1.9 million or $0.15 per share for the second quarter of 2019, whereas the net operating loss of $2.4 million or $0.24 cents per share for the second quarter of 2018.  Total research grant revenues in the second quarter of 2019 were $318,000 versus $285,000 in the second quarter of 2018. In the second quarter of 2019, research and development expenses were $1.2 million and G&A expenses were $1 million. This compares to $1.3 million of research and development expenses and $1.5 million of G&A expenses in the second quarter of 2018.  For the six months ended June 30, 2019 Yield10 reported grant revenues afforded $442,000, R&D expenses of $2.4 million and G&A expenses of $2.2 million resulting in a net loss of $4.2 million or $0.36 per share. For more details on our financial results, please look out to the earnings release.  Let's now turn to slide 14 to discuss upcoming milestones. In 20 19, we will continue to make progress in the following. Advanced development of C3003 at canola including generating data and attending 19 field testing program and support Bayer in the development C3003 and C3004 traits. Generating agronomic and yield data for C1004 in Camelina and deploy the trait in canola and corn.  Advance oil boasting traits using CRISPR genome editing including C2007 and canola. And continue testing our C1008 and triple ended Camelina plants in US field studies before progresses in our C4000 series traits. Support Forage Genetics in the evaluation of bits and 40 sorghum continue to build their intellectual property portfolio, communicate our scientific innovations and technical presentations papers and secure funded agricultural collaborations.  With that I'd like to turn the call back over to Lynne for questions. 
Lynne Brum : Thanks, Oli. Diego, can we now poll for questions. 
Operator: Thank you. Ladies and gentlemen, at this time, we will conduct our question and answer session. [Operator instructions] Thanks. Our first question comes from Jon Hickman of Ladenburg Thalmann. Please state your question.
Jon Hickman: Hi, Oli and Lynne. Could you elaborate a little bit on how you plan to commercialize these products for the PHA? Are you going to actually sell seed to farmers?
Oliver Peoples: Yes. So …. go on Jon please.
Jon Hickman : No, that's my -- are you going to license it to somebody to produce a seed for you and sale it to farmers?
Oliver Peoples: So I think that's a good question. And I think something that this was just give me a bit more color on. First of all a product like he traits, like the PHA, biomaterial and crops is really very similar to, one of the edited traits is being pursued by other companies where you need to set up what they call an identity preserve value chain. So our path forward is really to fully develop the technology so that it's ready for commercialization, deal with the regulatory approval process. It is an interesting opportunity in that at scale, it could come on somewhere between 20 and 30 million acres, which makes it a very exciting seed acreage opportunity for someone else. And so there is a potential for a partnership there. But ultimately, our goal is to actually have a contract farm, have the crop seed harvest seed abroad processing facility and extract the PHA preferably through an environmentally responsible process, not using solvents and to essentially sell the PHA pellets into the water treatment market. The remaining materials from the seeds are going to be basically vegetable oil and essentially protein meal which can be fed into the feed sector.  So we see this as an opportunity that we have the ability to participate and fully downstream, how far we go will depend on the discussions we have ongoing with various third parties. I will be clear about one thing that is that we do not plan to get back into the plastics business. We feel that there's enough players in that space, desperately seeking some real solutions to plastic pollution and the environment. But having low cost PHA available and having a business that we can grow into water treatment will really enable us to support on supply over time. 
Jon Hickman : And then, what trait -- can you tell us what traits you're using in the Camelina to do that PHA? 
Oliver Peoples: Yeah. The PHA traders, we've worked on, Kristi and I have grown old altogether working on this. And frankly, what we've done is we've introduced three microbial, three genes from microorganisms. We haven't given it a trait designation yet, because this is relatively recent, it probably will be C-3014. But really, what it is, is it's a pathway that exists in microorganisms in nature. Interestingly enough, it also exists in resovia [ph] which, of course involved the nitrogen fixation and soybean, so it's widely prevalent in the environment, both in soil and the water, and including, strange places like deep sea vents.  So this is a natural product has enormous potential. And so what we've done is introduced the three genes in a very different and very unique way. The result is that the capitalism and the carbon flow in the seeds has been directed to produce those new product in a location that doesn't bear the seed germination. And so really, now we can begin to work on further improving that a little. Quite frankly, if we can sustain 10% or lower PHA in seed is already the basis of a pretty interesting business. 
Jon Hickman : So because it's micro -- these genes come from microbes, and you're putting them in Camelina that's different regulatory process?
Oliver Peoples: You're absolutely right. And I'm glad you brought that up. Because, we've been paying particular attention to the revisions of the USDA-APHIS 7 -- 340 [ph] right. I think I that right. And [indiscernible] has proposed changes, really what they are seeking to do is to bring the regulatory process in line with all the knowledge and information gained over 30 years of safe use of GMO crops. We see this as a very interesting opening from new crop products like PHA Camelina or essentially specialty oil Camelina. And the reason for that is they're not necessarily ever going to meet, going to the export markets and so we don't really need to be concerned about the challenges of getting regulatory approval in Europe, which is mainly political; or China which also basically political.  So we can really focus on developing our crop will be grown in the US, process in the US and the products sold in the US and if the Europeans want to live in polluted water, well good luck to them. So we feel very strongly that there's a real basis here to persuade the USDA and other regular authorities that this type of product, which is really above environmental sustainability and help people and environment and has a track record of approval not only for used as a plastic and foods contact approval it also had use as a privilege to be approved for essentially used in the body for medical applications and its being studied extensively in feed application.  So we're very fortunate or perhaps cleaver in their choice of crops Camelina with this type of acreage potential and the product is something that is very well understood by the regulatory authorities across the board and is multiple end-use applications doesn't need to be exported. So hopefully we can find a way to get a much more expeditious and timely regulatory approval for this. 
Jon Hickman: Okay. Can I give you the name and like you said you're talking with numerous third parties? Can I get you to give us a number, dozen, more than a dozen?
Oliver Peoples: No, I can't do that. 
Jon Hickman: You can’t do that, okay.
Oliver Peoples: We were very pleased with the growing interest of what Yield10 is doing. It is a real credit to the science team but more important to the food policy we have generated over the last few years, so our credibility has become very high. So now we're being sought out as a perspective farmer and that’s a credit to Kristi. 
Jon Hickman: So there is more now than there were earlier in near, can I say that?
Oliver Peoples: The global population is growing. 
Jon Hickman: Okay. One more question. Kristi didn't mention much about C3012. SO when your license -- are you -- is that in greenhouse stuff right now.
Kristi Snell: So that’s a greenhouse stuff that is right now in a Camelina and Canola so we're waiting to get data on that once we get to the point where we can get homozygous sees.
Jon Hickman: Okay. Thank you. That’s it for me. 
Kristi Snell: Thank you.
Operator: Our next question comes from Ben Klieve with National Securities. Please state your question.
Ben Klieve: All right thanks. Handful of questions here. Firstly to piggy off Jon's question. Regarding the approval of the regulatory approval for your PHA product. I want to make sure I understand this right. So I know there's a lot that still needs to be determined. But at this point your anticipation is that because you are integrating genetics from a microbe that this is going to be considered potentially a GMO trade, but you believe that the regulatory process will be significantly shorter and cheaper than the existing structure. Did I get that right?
Oliver Peoples: I think it is. So with the caveat, it is a very important caveat. We spent some time going over there is a request for feedback on the proposal from USDA-APHIS. We did actually send in some say constructive comments to what's currently pending. But do you read the actual proposal look at my previous USDA-APHIS, we have not clearly established that just because it contains a tendency it could be defined as GMO. That depends not only in USDA-APHIS but also EPA and FDA. And then fact for what would be called plant made industrial product, they haven't tried in document indicated, there is a chance that it could also be non-regulated with the proviso that they do not cause a plan passed. And so, it's a little unclear. But I would say that language is very encouraging. But even setting that aside, if it is regulated, they have also indicated a willingness to review these without years of field data based on the scientific underpinnings of the trait itself.
Ben Klieve: Got it. Okay.
Oliver Peoples : Which can again accelerate. 
Ben Klieve: Perfect, perfect. That's helpful. Another question on with regards to commercialization of traits is the $46 million that you talked about investing in this initiative? Two questions. One, is that going to be investment kind of above and beyond your current run rate? Or do you anticipate expenses that you've had, in the last few quarters kind of dropping off and getting replaced by this investment?  And then second, how does this compare really to investments that you've made in other products in the past, is it going to be fundamentally different in terms of what your, what the cash is deployed for, fundamentally different in timing or size? Anything -- any thought there would be helpful? 
Oliver Peoples : Yeah. So I would say, really what we're doing, and I think, probably, if you read the script, you’ll some indication of this. We have realized that fundamentally, we are in a position where we are finding it useful and interesting, not only for Yield10, but also for the ag majors, for them to essentially develop, engineered lines with our traits and their particular germplasm. And they seem to be pretty open to [indiscernible] under research license agreements. The key for us is we must be able to get access to data generated in those studies. And so that becomes a principle going forward. So going forward, we will say we are essentially going to focus our activities around essentially Camelina and canola. Canola really to validate and further develop additional traits for yield and performance and Camelina really for the specialty products. So we have had activities in the past in rice and wheat, which we will probably de-emphasize unless we are able to secure third-party funding for those sorts; more reallocation of resources. And what we are really focused on for the PHA is essentially getting ourselves off to get that first set of field data sometime in the next two years. 
Ben Klieve: Got it. Okay, perfect. Question regarding the commercial relationships that you are in discussion for, and I guess I have two questions. The first one is going to be at -- the conversation around this seems to be very similar to what it's been the last quarter, especially, and to a degree for the last couple quarters? What is anything do you guys see as potentially holding these back from materializing to the point where you can put out a press release? Is there a hold up on the economics? Is there a hold up on the collaborators wanting exclusive rights to anything? Or do you think it's -- do you think that really these conversations are progressing towards that and it's just simply a matter of -- it just takes time? 
Oliver Peoples : Yeah, I think it's pretty much to last case. I would say, some of the conversations, frankly Ben have actually come in fairly recently, as we've begun to discuss, for example, the potential use of our technology in CBD. The potential use of our technology to produce these PHA biomaterials and a PHA biomaterial value chain. So, some of these conversations are with people we've been talking to for a while. And some of them are with very new entrants have come to us. So I think it's just a matter of time. And unfortunately, August is not the best time to get anything done. So right now, I would say probably it's a little slower, but it's still an ongoing thing, even in August. 
Ben Klieve: Yeah. Okay. And can you help us kind of understand kind of how long this process takes? I mean for example, with the Monsanto relationship and FGI [ph] relationship? How long did it take from the first phone call to the press release? 
Oliver Peoples : I think it's pretty close to two years, right. 18 months to two years.
Kristi Snell: Yeah.
Oliver Peoples: So, I think it was roughly sometime mid-2015. We started reaching out to Bayer to Monsanto the time of Monsanto. And, the pitch was very simple. We are a failed bioplastics company who's going to solve crop yields. And we have some very exciting data points. So as you can imagine, there was a high degree of skepticism within Monsanto. After all they spent close to $2 billion, both internally and externally trying to do just that. So there is an education process that had to go on there. And not really was partly why that happens and length of time. There was also the fact that they had been acquired in the middle of that, which also doesn't accelerate things.  So right now, when you look at the ag majors, there are literally only beginning to sort of emerge from the conclusion of essentially all the activities and right sizing, downsizing, leverage laying people off, that goes on when you manage large operations and activities like that. So Monsanto is made -- I think evened pretty much through it, Syngenta, we don't have too much in the way of interactions with but they had their challenges there as well. I we know that Monsanto has made great progress on [indiscernible] they made great progress on that. But these managers just actually, they have a big impact [indiscernible] organizations, unfortunately, for major crop base, those are the primary targets.
Ben Klieve: Yeah. No, I certainly understand that's not -- that certainly didn't accelerate your initiatives with them on. Okay, that's helpful. One last one for me, and then I'll get back in line here is I ensure that the process of negotiating this commercial relationship with Monsanto is very different than with somebody that you're working with on the CBD front? Can you talk a bit about kind of how the process for trying to secure commercial relationships has been proven to be different with the CBD market? And then also do you have any sense that maybe, that maybe that's a market that's going to be able to move a lot faster than your traditional efforts have?
Oliver Peoples: Well, couple of key points I would make. I would say, with respect to talking to the seed companies who they are what their businesses what their market share is, and oftentimes the people. When you get into the CBD market is kind of the Wild West, right. And so, what you run into is all kinds of companies at different stages of development, an equally wide ranging stages of knowledge in the space. And so it's a little bit of a Wild West. So what we've tried to do is to identify players that we understand have been real success stories in the space. And that really then gets into how you define success can be raising money, which is a great thing. But also folks who really understand the space are in it for the long term. And really understand the plan, cannabis sativa which, quite frankly, we've learned an enormous amount about in the last six to nine months. And I can assure you the idea that you just grow plants some hemp and start a business is rather naive. It's a very challenging plant to develop your business today. And that's where we think we can really contribute. But the way we contribute really depends on working with somebody who really understands upon knows the market understands that the value in use for these products is not about CBD, it's actually about CBD, combinations with THC [ph] and several other molecules, which have synergistic effects on the cascades of receptors in the human body to generate these tremendous medical benefits.  Now, having said that, I can assure you the product does work, because I've seen it myself, and I give the elbow and they give me and it absolutely works. And so it's going to take a lot more time in that space for the real winners to really shake out. And we are talking to someone particular who we think they're going to be there at the end of this business. The projections, they're crazy. I mean, we're talking about a potential 2 billion patient population, in some cases looking at 300,000 or 400,000 tons, sorry, 300,000 or 400,000 kilograms, of very valuable product. So really is a niche opportunity, but it requires a business skill set and knowledge of the plant systems. The yield then doesn't possess it totally. So we plan to leverage your capabilities to participate on.
Ben Klieve: Got you. Perfect. Thank you for taking my questions. I'll jump back in queue. 
Lynne Brum: Thanks, Ben. Diego, do we have one last question? 
Operator: Yes, we do. And that question comes from Paul Diorio [ph] with Maxim Group. Please state your question. 
Unidentified Analyst: Hi. This Paul Diorio [ph]. Actually calling -- how you doing today? I was actually calling for Anthony Vendetti over Maxim Group. Got a lot covered there with the CBD. I was just wondering if you guys could just kind of maybe just jump in to that just a little bit more just in terms of CBD is kind of like the hot word or like the hot thing what's going on with cannabis. Is there like, other nice products or like other cannabinoids that the product could potentially do the same thing that we do TBD? 
Oliver Peoples: Yes. It's always think about this, as basically, for whatever reason or evolution, cannabis sativa split into two varieties. One makes the series of cannabinoid compounds, several of them, it's not it's not one or two molecules. It's several. All basically branched off the same pathway, all dependent on the synthesis of the first two be courses [ph] which are [indiscernible]. And those two really come from Acetyl-CoA and malonyl-CoA, well, in the suit of the stage, Biological Synthesis stuff. So that's what's known about it. Now, the thing is known as that the farm bill really, basically deregulated [indiscernible] which is the former cannabis sativa that produces essentially the low THC [ph] variety. And I think the regulations basically state, if you can demonstrate that the crop doesn't contain more than 3% THC than you can actually have a certain price. So and that's one of the complexities in that you need some THC in your product to have a product. But at the same time, if the THC levels are above 3%, then you basically have to destroy the crop. So it's a very complicated value chain. We're well aware of the synthetic biology companies working on this in yeast and in ecoli and everything else. And so what we've seen is that, when you look at products made in crops, it's just very difficult to compete on a cost basis. And so cannabis sativa pretty much makes, depending on the version is pretty much what you want is the question then of optimizing it, and from our point of view, probably always have the best economic. So using our pathway engineering skills to shift the balance of all the different enzymes involved, to achieve different formulations is something that I think we can contribute to, but our plan would be to really be a service provider.
Unidentified Analyst: Okay. Great. Thanks. Thanks for answering. That’s all I had.
Lynne Brum: That's all you had, Paul. Okay. 
Unidentified Analyst: Thank you.
Lynne Brum: Thank you.
Operator: Thanks. There are no further questions at this time. I'll turn it back to Lynne Brum for closing remarks. 
Lynne Brum: All right, thanks, Diego. Let me now turn the call over to Oli. 
Oliver Peoples : In summary, we believe the green platform can be used to address a wide range of plates in a broad array of crops and currently have more than 15 traits in our pipeline. No trait factory enables three distinct revenue opportunities. The first is our new service fee for service revenues. The second licensing or yield performance traits, use in the major row crops. And the third is product sales based on Camelina platform for producing edible oils and PHA biomaterials.  I'd like to personally thank all of you for joining us on the call today, and especially our shareholders for your continued support. This is an exciting time for our industry and for Yield10. Our team is laser focused on progressing replace, to fulfil our mission to produce step change, improvements to crop yields and short sustainable growth with global food security.  I want to thank everyone at Yield10 for setting, as I'm trying to reach their goals in 2019, and I look forward to achieving our milestones this year. Have a nice evening. 
Operator: Thank you. This concludes today's conference all parties may disconnect. Have a great day.